Operator: Good day and welcome to the Charles & Colvard First Quarter Fiscal 2023 Results Conference Call and webcast. Our participants will be in a listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] This earnings call may contain forward-looking statements as defined in Section 27A of the Securities Act of 1933 as amended, including statements regarding, among other things the company's business strategy and growth strategy. Expressions which identify forward-looking statements speak only as of the date the statement is made. These forward-looking statements are based largely on our company's expectations and are subject to a number of risks and uncertainties, some of which cannot be predicted or quantified and are beyond our control. Future developments and actual results could differ materially from those set forth in, contemplated by or underlying the forward-looking statements. In light of these risks and uncertainties, there can be no assurance that the forward-looking information will prove to be accurate. Accompanying today's call is a supporting PowerPoint slide deck, which is available in the Investor Relations section of the company's website at ir.charlesandcolvard.com/events. The company will be hosting a Q&A session at the conclusion of prepared remarks. Should you have questions you'd like to submit, please e-mail ir@charlesandcolvard.com. Please note, this event is being recorded. I would now like to turn the conference over to Don O'Connell, President and Chief Executive Officer. Please go ahead. 
Don O'Connell: Good afternoon, everyone. Today, we're going to report Charles & Colvard's First Quarter fiscal 2023 results. We delivered $7.4 million in revenue in Q1 while down 28% and to the year-ago quarter, in part due to logistics and supply chain issues caused by Hurricane Ian, which had an adverse effect on our quarterly results. This quarter still represented the fourth highest comparable trailing 12 months' revenue of over $40 million. Additionally, as COVID concerns and travel restrictions eased early in the quarter, we believe many consumers spent their discretionary income on experiences and vacations, rather than luxury consumer goods like fine jewelry purchases. Softness in demand was experienced across the fine jewelry industry, resulting in our distribution partners reducing their forecast and overall inventory positions, thus causing a drop in loose gemstone sales and revenue in our traditional segment. However, this did not seem to affect our brick-and-mortar business which remained relatively steady for Q1, as we expanded our assortment in co-op marketing initiatives in support of the upcoming holiday season. With that being said, and with online channels comprising 66% of our revenue in Q1, up from 52% in the year-ago quarter our strategic focus is to continue to drive and elevate our direct-to-consumer presence and brand strategy, which we believe will better position us for long-term growth and help bolster against the current macroeconomic uncertainty and geopolitical unrest as we strive to reduce our dependencies on others. We continue to make strategic investments in our direct-to-consumer initiatives, which we believe will further strengthen our moat and overall position in the market. Despite the increasing economic uncertainty in the market throughout the quarter, revenue on our owned property charlesandcolvard.com only saw a slight 2% decrease year-over-year due in large part to the effects of Hurricane Ian. This represents the second-highest revenue, for the comparable quarter in company history. Revenue on our moissaniteoutlet.com website was up 179% year-over-year, as consumers sought opportunistic buys. We feel confident that our brand positioning and expanded product categories will continue to resonate, with more consumers and drive greater market share in the quarters to come. Although lab-grown diamond prices have experienced some downward pressure and increased competition, our Caydia, lab-grown diamond revenues on charlesandcolvard.com continued to decline, and an increase of 85% to the year-ago quarter as we expanded our collections and assortments to better meet consumers' demands and increased our efforts to become more vertical. Our Forever One moissanite revenues on charlesandcolvard.com were down 12% to last year. We anticipate our moissanite sales to equalize, due to the value proposition it represents in the growing broader lab ground movement, as we continue to expand our larger carat weight bottle assortments. Our gross margin for Q1 remained strong at 45%, as we continue to take necessary steps to reduce product costs, even with rising shipping costs and inflationary pressures. At this time, I'd like to turn the call over to Clint Pete, our CFO for an overview of our Q1 financials. I'll return to provide updates on our key initiatives. Clint? 
Clint Pete: Thanks, Don. Today, I'll provide a summary of key financials for the first quarter ended September 30, 2022. Additional detail can be found in our earnings press release, that we issued this afternoon and our Form 10-Q, which we expect to bottom on. Please note, that all percentage comparisons are to the year-ago quarter unless specified otherwise. We'll start with Q1 2023 revenue. In total, net sales for Q1 2023 totaled $7.4 million versus $10.3 million or a decrease of 28%. Net sales for our online channels segment, which includes charlesandcolvard.com, moissaniteoutlet.com, marketplaces, drop ship retail and other pure-play outlets totaled $4.9 million for the quarter or a decrease of 10%, now representing 66% of total net sales. Net sales from our transactional website charlesandcolvard.com decreased by 2% relatively flat to the year-ago period, despite the current overall global economic conditions. Net sales for our traditional segment, which consists of wholesale and brick and mortar customers totaled $2.5 million for the quarter or a decrease of 49% representing 34% of total net sales. Finished jewelry net sales decreased 3% for the quarter. Loose jewels net sales decreased 60% for the quarter due in part to our shift in the finished jewelry efforts and direct-to-consumer strategies along with both domestic and international distributors reducing their forecast and overall inventory. Overall international net sales decreased 39%, as our distribution partners faced additional COVID-19 restrictions and closures. While cross-border trade sales on our transactional website charlesandcolvard.com remained relatively flat to the year-ago quarter. Moving on, we delivered a strong gross margin of 45% versus 51% in the year-ago quarter delivering $3.3 million in gross profit versus $5.3 million in the year-ago quarter. Our gross margin in the current quarter was negatively impacted mainly by increased shipping costs and rising inflation. For Q1 2023, total operating expenses increased 5% representing 61% of total net sales compared to 42% in the year-ago quarter. Sales and marketing expenses increased 14% to $3.1 million in support of our growth initiatives and G&A expenses decreased 11% to $1.4 million for the quarter. We reported a net loss for Q1, 2023 of $890,000 or $0.03 loss per diluted share compared with a net income of $827,000 or $0.03 earnings per diluted share in the year-ago period. Included in our net loss for Q1 2023 is an income tax benefit of $303,000, compared to income tax expense of $123,000 in the year-ago period. Our weighted average diluted shares outstanding used in the calculation of diluted loss per share for the quarter were approximately 30.4 million shares at September 30, 2022, compared to 31.1 million shares at September 30 2021. As an update to our $5 million stock repurchase program we announced in the prior fiscal year as of September 30, 2022, an aggregate of approximately 388,000 shares of the company's common stock have been repurchased under the program that are held in tertiary stock for an aggregate purchase price of approximately $489,000 at an average purchase price per share of $1.26. Now let's move on to a snapshot of our balance sheet. Our liquidity and capital position remained strong as we ended the quarter with $16.6 million of total cash compared to $21.2 million at our last fiscal year ended June 30, 2022. In addition, we continue to carry no debt. Our cash flow used in operations was $3.7 million for the quarter compared to $2.1 million in the year-ago quarter. This increase in the quarter reflects our build-in inventory to support the upcoming holiday season, investments in our lab go and Diamond initiatives, repurchases of our stock and other significant growth initiatives. Our working capital at September 30, 2022 decreased in June 30 2022 by $4.2 million to $24.9 million. In terms of other sources of liquidity, we have access to our $5 million cash recurred credit facility with JPMorgan Chase Bank, which we renewed on July 29, 2022 for one year. As of September 30, 2022 and through today we have not accessed funds through our credit facility agreement. Inventory as of September 30, 2022, totaled $36.6 million compared to $33.5 million as of June 30, 2022. Boost jewels inventory was $16.6 million compared to $16.2 million as of June 30 2022. Finished jewelry inventory was $19.9 million compared to $17.2 million as of June 30, 2022 to maintain stock levels to support the upcoming holiday season and our lab on Diamond initiatives. In summary, we remain confident in our financial strength and our continued efforts to increase shareholder value. With that, I'll turn the call back over to Don.
Don O'Connell: Thanks Clint. For years Charles & Colvard has been synonymous with moissanite gemstones. Today our goal is to make Charles & Colvard synonymous with made not mine fine jewelry and gemstones for the conscious consumer. We believe given the potential for the lab-grown jewelry market to approach or exceed $8 billion in 2022 that this represents one of the hottest growing categories in the jewelry space and we feel well-positioned to capture a greater share of this addressable market. With that being said, I'll provide an update on recent highlights and our fiscal 2023 strategic initiatives. We've strengthened the brand positioning by expanding our made, not mined marketing campaign and our commitment to produce ethical and conscious fine jewelry for today's consumers. I'm pleased to report that we maintained 99% precious metals utilization for fiscal year 2022 as we strive to attain 100%. Our goal is to own the made, not mined jewelry and gemstone category to further delineate ourselves from our competitors and to own that moat. We have now begun a strategic redesign of our website and educational content to support and strengthen this direction as we are finding that consumers care more today about the origins of their fine jewelry. Our marketing strategy to increase awareness, includes revamping our overall go-to-market visual initiatives and capitalizing on our investments in our digital photography and video content hub and production studio. We believe these efforts are bearing fruit as we were featured in 20 press publications within the quarter alone, including BRIDES, JCK, the Robb Report, Yahoo!, Forbes and National Jeweler. We've enhanced and expanded our product assortment with new meaningful lab grown diamond collections that we believe will bring us into fashion and editorial categories and position us as a leader in the lab grown fine jewelry space. Recently we launched our bold new Couture collection; our Signature Collection, men's bands, and our latest conscious color fine jewelry collection, garnering increased press and awareness. Additionally based on consumer feedback, we've increased appointment times for our virtual bridal consultations to educate the consumers in real-time and to showcase both our Forever One moissanite and our Caydia lab-ground diamond assortments. As a result, our consultation bookings have increased. Our data tells us that customers are much more likely to purchase from us after a one-on-one consultation. Further allowing consumers to experience our jewelry firsthand and broaden our footprint. We've opened our first retail signature showroom at our headquarters located in the RTP region. We received significant local press coverage and forge relationship with North Carolina based influencer during our exclusive press preview event prior to opening on October 24th. We believe, it is important to remain focused on these key strategic initiatives for this fiscal year to effectively weather the current economic climate putting us in a position to thrive and grow our product categories and overall total addressable market. We remain hard focused on diversification. For us, diversification looks like innovative product launches that go beyond bridal, all new ways to experience Charles & Colvard like brick-and-mortar showrooms, customer and press events, industry outreach and live stream shopping, all ways to build depth into the brand broaden our audience and drive new consumers. Our emphasis on fine-tuning our made, not mine positioning is foundational to this strategy. We look to us to lean into this core messaging and consumer education to further delineate us as a leading brand in a lab-grown movement. With that, I'd like to turn it over to the operator to open the lines for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Mike Miller, Private Investor.
Unidentified Analyst: How are you doing, guys.
Don O'Connell: Hi, Mike.
Unidentified Analyst: I've been a shareholder for quite a while now, literally since the time when they were rolling out the retail stores. And then the next CEO came in and we were doing the home parties. Then we had a young lady who was the marketing or Internet person, which I thought was doing a good job and not sure what happened to her. It was very quiet as she went out the door. But I have to ask you the stock's at $1 now. We're talking 15 years later and it doesn't seem like we're going in the best direction. At what point, do we go to the Board and we say, hey, we might be better off selling the company and being a part of a bigger organization because we've been doing this for 10 years, 15 years and nothing's going right? I mean, we're stepping the mud here. So something's got to change. 
Don O'Connell: Hi, Mike. Well, I appreciate the comments, let's talk a little bit about history. So in the past eight quarters the last two years, we've exceeded all revenue targets as well as the highest revenue in the history of the company. So let's just talk about that. We've also exceeded profitability over the course of those eight quarters as well. Everybody in life has a decision to make of who they want to invest in if they believe in where they're going in the direction they're going. Certainly from my perspective, our book value is at $1.92 right now. So we're trading way below book value. So we're undervalued between the cash that we've been able to build up over the last two years. So the prior organization or my predecessor while they've all done a great job in kind of building the foundation for where we are today we've completely shifted the business into more of a direct-to-consumer basis. If you look at us right now we are a direct-to-consumer company. We're also a company that's not limited to a single product. We're a company that has multiple products. We offer the choice to the consumer. We just launched a new product which is Color, which is also in, kind of, the hottest moving category in the Made, Not Mined category, which is our kind of our campaign moving forward. We believe that we're better positioned from a capital standpoint than we ever have. We believe from an inventory perspective. We have active inventory. So I'm going to strongly disagree with kind of your interpretation of where we were and where we are today. Obviously, I'm a little biased as the current CEO much like my years at Berkshire Hathaway's Richline Group, the world shifts and it changes. And our ability to adapt and shift and change is really critical to, kind of, the future state of who we are and where we're going to be. So my perspective if you look at your entire portfolio not just limited to CTHR. I'm sure you're seeing similar types of effects across the board that are beyond our control. Certainly, interest rates are climbing, cost of living has changed and shifted between the Fed basically just changed another 0.25 basis points yesterday. We are in a commodity business. We are in a discretionary-type universe. So those consumers may shift to go in another direction. So we still feel that there's an incredible opportunity for us. If we stayed the course of where we were, which was a wholesale business if you just look at our numbers right now the wholesale business definitely faced strong headwinds. And really the most exciting thing that we have is our direct-to-consumer approach which is now 66% of the business. While I understand your position, we certainly know our position and basically likely all can make those decisions based on those. So again we're trading below book, far below book right now. So we did initiate a stock repurchase program a $5 million repurchase program of which we purchased about 0.5 million shares or $0.5 million worth of shares. So we believe in what we're doing. We believe that we're the best value for our money. So we're putting our money where the mouth is. And we're pretty pleased with kind of the direction we're going and where we're at. Unfortunately, we do have some headwinds with the economy. And our ability to adjust and our ability to bring on new products to appeal to a wider and broader audience is really key. So I'd be more than happy to have a dialogue with you and set up an appointment with Clint Pete, my CFO. And we can go through all the business from years past today and we can agree to disagree and we could just talk fundamentals. And I'm very open to that. 
Unidentified Analyst: Earnings per share is what's going to move the stock. I do agree with there are some good things going on. I guess, the big question is are we better off maybe being part of a bigger organization? Not saying that you're not doing a good job given the circumstances. The big question and the Board needs to have a discussion is are we going to be better off over the next half a dozen years continuing down the path that we are or are we better off for the shareholders maybe getting bought out at a significantly higher price currently hopefully. So that's my question, I think, really needs to be addressed. And that's... Maybe going forward. 
Don O'Connell: Yes. So let's talk about that a little bit. So everybody in life looks for the maximum value, right? So certainly at these values, I mean, we obviously want to command the best possible price in life should that even be a consideration. So as a Board and as a director and as the CEO we're looking at every opportunity for the business, opportunities to grow the business opportunities to kind of vet whatever comes across our plate. So certainly always a consideration, right now probably wouldn't be the best time or the price for that. But again, we can have that dialogue or we can talk forward with it. So set up a call with Clint. I'd be more than happy to kind of go back and forth with you on that. 
Operator: The next question comes from Peter Johnson, Private Investor. 
Unidentified Analyst: Yes. Hi, there. I do embrace the strategy that you guys have undertaken in terms of broadening the scope of products in the markets you access and also increase direct-to-consumer. What I'm having a hard time with is why we're building inventory if the business is this rough out here? I mean, obviously, no one has a crystal ball but it looks like inventory at $24.5 million is up literally 25% over the same quarter a year ago when it was 19.6% if I've done the math right. Just not sure there's a lot of articles out there about companies not having enough inventory perhaps during the pandemic and going too far the other way. I sure hope we haven't done that. I'm just not sure if you guys were seeing over the last three, six months a general softening why would we be building inventory, or even for that matter buying back stock. I mean if you know that the -- that we're going to have a rough period here there's no question that the current price of the stock is ridiculously low and the price you paid of $1.26 also was low. But why – I'm not sure, I understand the strategies behind those two things. 
Don O'Connell: Yes. So thanks, Peter. I appreciate that. So number one, on the stock buyback that was announced last quarter or the quarter before when we announced that in Q4. So Obviously, the climate was a little bit different then. I'm probably in agreement with you that albeit that's over a three-year period when we kind of made that statement. So if you look at our buybacks, we can only buy x number of percentage per the actual daily volume or liquidity. So even if we wanted to make that foray into kind of a more aggressive approach, we'd be limited to the amount of activity there. So you could be pretty comfortable with that that we would not be doing that and cash preservation would be really important and critical to us right now. As far as the inventory I would just say that the inventory was at $33.5 million at our close of our year-end and it is $36.5 million now. So two things for that. Number one is we have a supply agreement that's in place with our moissanite supplier. And within the provisions of that agreement, we have to take on x number of inventory. Given the softness in this quarter between the wholesale side and the loose gems, you can just look and see that's where the delta is. So certainly from business owners and my entire team, we're looking at all of those factors and all of those things moving forward. And we will address accordingly as the business needs. By the same token, we learned that when we had our transition during COVID, one of the main things that really drove our growth and drove the growth of where we are is the fact that we had the inventory to be able to pick back and ship whereas other people were having difficulty in the supply chain. There is supply chain issues out there for a lot of different businesses, due to COVID in closures in China and Asia Pac regions. So we've maintained a pretty strong inventory level and we feel confident with it. We've also had kind of a large cash buildup over the last two years with a cash position. So we're kind of looking at both. We look at inventory now in the composition of inventory being much different than it used to be because it's finished jewelry. So fine jewelry with gold and platinum is a commodity. So it's very liquidable – it's pretty much cash for us, whereas in the past it was primarily a concentration of loose gemstones. So also with that being said, we've made two product category launches, one being obviously, the Lab ground diamonds which is a large moving category for us and you see the percentages keep climbing as a percentage of sales on our direct-to-consumer business model as well as that the need to build up inventory and make investments in inventory to support that business. So look to us to be responsible but we believe we're in a good position heading into holiday to capture whatever is out there for us and then look to us to kind of taper back and keep an eye on inventory moving forward and make necessary adjustments with whatever partners we need to.
Unidentified Analyst: Okay. That made sense and thanks for the inventory clarification, I realized also to get the long-term inventory only. So you also announced a while back that you were going to try to open up distribution centers in different areas around the world. I think China, we had started with and there was talk about Europe. Are we perhaps putting those plans on ICE, or what's happening with that at this point? 
Don O'Connell: Yes. So both of those are strategic partnerships, whereas very low overhead or low point to entry and a low cost. So it's just a partnership on pretty much a percentage of sales. So these are distribution partners. So basically, the partners carry our goods. They distribute our products. They report our sales and pay for them. So there is no cost associated with carrying cost – yes, with any carrying cost other than basic support or co-op-type arrangements with them.
Unidentified Analyst: Got it. Okay. Thank you.
Don O'Connell: We're pretty good there. Another great plan.
Operator: The next question comes from Matt Koranda ROTH Capital Partners. 
Don O'Connell: Hey, Matt.
Unidentified Analyst: This is Ray on for Matt Koranda. So we see here that gross margins dropped a little bit. And then also you guys continuing to lean into sales and marketing. I was wondering if you guys can provide a little bit of color on both of those points there.
Don O'Connell: Yes. So certainly, we're driving more to direct-to-consumer. So we're going to continue to fuel and feed the sales and marketing opportunities for us. As we start to build these new products, we've got to advertise and support those businesses and make strategic investments in those. Also as the business shifts to more of a direct-to-consumer model much different than a wholesale model which is just basically bulk ship loose gemstones. On the direct-to-consumer model, we need support. So we need photographers. We need videographers, we need different personnel to create kind of the look and feel of an upcoming brand and probably a leading brand in this space. We feel we're doing a fantastic job. The team is doing a wonderful job kind of transitioning the new look and feel. Certainly, we believe that the headwinds that we're seeing is strictly on the wholesale side of the house. As far as the margin side of the equation, certainly we're taking a look at what is kind of the new norm or the new run rate on the margin. As I've stated over quarter-over-quarter. In the jewelry industry margins, we look for 45% to the 50% range. We still are there. That's what we still look towards. We had a couple of things within the quarter. We did a Diamond Event, which was all in Diamond Event which had some margin impact there just because we wanted to move through goods and see and test where we wanted to be leading at the holiday. So that was really important to us. And the other thing there is one major – I wouldn't say concerned but the thing that we're looking at right now is our shipping cost. Certainly as we become more of a direct-to-consumer model, we're shipping individual goods one by one. We're moving goods all over both foreign and domestic to be able to satisfy the consumer needs. So our shipping costs did grow considerably. So we're trying to kind of keep an eye on that and basically make sure that we get that under control. And how do we do that? We do that from consolidation shipping points. So we've already gotten very aggressive there. So leaning into holiday, we believe we're going to be in a better place for that. And we certainly believe that the margins would increase from there.
Unidentified Analyst: Great. Thank you. That’s super helpful. Also one more question on the sales and marketing side. I was wondering if you guys have noticed any changes in digital marketing efficiencies, just given the broader pullback in marketing budgets that we've seen kind of across the industry?
Don O'Connell: It's definitely something that we really, really need to dive into and make very informed database decisions. So much like I alluded to over the past year and quarter before, it is getting more complex and complicated to get those cost per clicks down. And as we become more forthright and building our brand and our awareness and showcasing who we are and what we're about, others are king in and utilizing some predatory marketing tactics to buy our search terms in keywords and specifically charlesandcolvard.com are namesake. So, we're keeping an eye on those. So we've got to make sure that we deploy capital in the right place. We do a mid to lower-funnel-type approach to our marketing. So we like conversion. We love conversion-based, but we've now started to lean in and step on some other types of opportunities to drive more organic as opposed to the paid side. So, more awareness building, more towards our video capabilities. So, as we alluded to and spoke about the investments that we're making in our direct-to-consumer video content that we can time cancer stream, live shopping capabilities across the board, we're looking to monetize those. So, what does that mean? That means, we'll look more to connected TV. We'll look more towards, either long-form direct response programming, and ways to kind of spend some capital in the sales and marketing side to drive and monetize. So, certainly, we're mindful of the spend. Most companies are trying to cut back, but leaning into holiday, it's a very, very difficult balance to pull back during what we feel is the most important part of our business cycle, right? This is the hottest time of the year heading into the season. We're a month into the quarter. We've got two months to go to drive everything and anything that we can to our destination.
Unidentified Analyst: Great. Thanks, guys. Appreciate it.
Operator: The next question comes from Sanjay Maga [ph] a private investor. And I'm sorry if I mispronounced that.
Unidentified Analyst: Hi Don, good afternoon. Okay. So I just wanted to kind of ask about -- I know you don't generally give guidance, but if you could provide some visibility on cash flows going forward. I think like one of the previous callers mentioned, I think a lot of cash has been spent building up inventories. So, how does -- I mean, how do you see that going forward this year? What are the projections? Do we expect positive cash flow going forward, or should we expect these inventories to eat up a lot of the cash flow going forward?
Don O'Connell: Yes. Great question, Sanjay. So, I'm going to tell you from my perspective and my direct team here, we're very comfortable where we're at, as far as our cash position. We're comfortable as far as our inventory. We believe we got way ahead of the cycle to be in stock in time for holiday. So, very little purchases are required moving in other than made-to-order, special orders that were going to go into holiday. So we feel we're well positioned. One of the caveats to success and cash flow, which we don't give numbers or guidance as you stated before. But certainly, we believe that with the inventory, with the sales that we anticipate heading into this quarter and this holiday, we will start to build up cash again. Our ability to kind of negotiate or be strong with our vendor community and kind of get an understanding of where we are and kind of our current arrangements and agreements will be critical to the quarters to come. So, I don't want to get into that, but certainly we're mindful of the inventory. We're mindful of cash and cash preservation. But we will have a clearer vision as we start to get back this quarter here.
Unidentified Analyst: Okay. And just on the -- you mentioned the supplier contract for the moissanite. I know, you guys have been obviously focusing a lot on the lab diamond space in the past year or so. So, how should we think about the moissanite, right? So I think the sales were down this quarter from last quarter. And given the supplies that have to be purchased based on the contract, how are we going to look at moissanite in this year and the coming years? And is there going to be an increased focus on that?
Don O'Connell: Yes. So, a very pointed question. So moissanite right now is gaining traction across the world. The lab-grown movement is benefiting the moissanite industry. And so Charles & Colvard is definitely benefiting too as well. I think, where we saw headwinds that just literally came this quarter was the wholesale side of the equation in anticipation of independents being concerned and whether they should put on inventory or whether they should build up stock and inventory. If you recall, when I first took over as CEO, we transitioned the supply agreement into a longer-term position. So, that definitely benefited us. It helped us throughout. So that definitely helps the kind of the supply coming in, but we'll certainly kind of continue to look at those things. We'll look at consumption models. We also have motioniteoutlet.com as an owned property. So that particular business is growing too as well with the kind of a lower cost type of product that's hitting the market. So the consumer now may be pinched for dollars and looking for a cost alternative and we're going to have that. Whereas in the past, we didn't have that, so look to us to build product with multiple stones and consume more goods. So we're very comfortable. We will lean in on moissanite. It just so happens that right now in the lab ground Diamond side of the house. We were very low in SKU count and styling and the consumer was asking for certain things. So doing a gap analysis, my product development merchandise team did a fantastic job of bringing some incredible collections forward our Couture diamond collection, as well as our color vision for the future which is mixed with lab-grown diamonds. But now we will shift and balance for holiday, which is more of a bridal and engagement season. Right now, you'll look we have a bright and engagement event going on right now and it's primarily focused on moissanite gemstones and larger stones, which has a higher value proposition. So we believe that, we've still seen increases across the board in the moissanite, up until kind of this quarter, which wasn't a bridal period. So we anticipate having in the vital period in the next month or so. So, look to that to kind of gauge the future state of where we're going to be. But certainly, both of our products are very, very strong. Our core business is moissanite. It has been moissanite and it will continue to be, but we will definitely continue to grow the Diamond opportunity.
Unidentified Analyst: Thanks, Don.
Operator: That does conclude today's question-and-answer session. I would like to turn the conference back over to Don O'Connell, President and Chief Executive Officer for any closing remarks.
Don O'Connell: Thank you, Amy. While we understand the impacts of kind of the current environment, we certainly are confident in our ability and our products that we're bringing to market. And we certainly appreciate your time today. On behalf of everybody here at Charles & Colvard, I want to thank you for your continued support and interest of CTHR and our Manotmine movement.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.